Mateo Toro: [Audio Gap] earnings call. [Operator Instructions] Next slide, please. We are pleased to be joined today by Gabriel Melguizo, Interim President of ISA; Jaime Falquez VP of Corporate Finance, Sonia Abuchar, VP of Legal Affairs; Patricia Castano, VP of Corporate Strategy; Natalia Pineda, VP of Road Concessions and Juliana Suso, VP of Institutional Relations; and Alejandro Velasquez, Director of Mergers and Acquisitions. The call begins with Gabriel's review of the highlights of 2025. Then followed by Jaime Falquez's presentation of the financial results. And lastly, we'll go back to Gabriel, who will provide closing remarks and lead the Q&A session. Next slide, please. And before we begin with Gabriel, we'd like to give the floor to Sonia, VP of Legal Affairs, who has an important announcement.
Sonia Abuchar Alemán: Thank you, Mateo. Before we begin our earnings call, we'd like to address recent events related to the company's presidency. As everybody knows, last Friday, February 27, ISA was formally notified. Our decision issued by the fifth section of the State Council, which declared the annulment of the election about Jorge Andrés Carrillo Cardoso as President of the company. In response to these events and out of respect for the decisions adopted by the judicial authorities, that same Friday, in an extraordinary session, the Board of Directors resolved that. First, as of that same day, Jorge Andrés Carrillo Cardoso, ceased to perform the duties of President and Legal Representative of the company. Two, with the vote of the majority of its members, the Board decided to temporarily suspend Jorge Carrillo's employment contract until the ruling issued by the fifth section of the State Council, declaring the annulment of his election becomes final. Third, once the State Council's decision becomes final, his employment contract will be terminated. Lastly, unanimously, the Board of Directors appointed Gabriel Jaime Melguizo Posada, VP Power Transmission as the interim president until a permanent president is named. Lastly, we reiterate to the market at ISA maintains absolute operational and strategic stability. We have rigorously responded to the court rulings, ensuring continuity in leadership and immediately activating the corresponding protocols. The company continues to execute its ISA 2040 Strategy as usual, backed by a sound management team, over 5,000 dedicated employees and intact financial and operational fundamentals. ISA continues to fulfill its commitments. In every country where it operates, our focus remains the same, excellence, transparency and sustained value creation for our shareholders. Thank you. And now let's look at the next slide, Mateo please. We have now Gabriel Melguizo, who will begin talking about the results.
Gabriel Melguizo Posada: Thank you, Sonia. Good morning, everyone, and thank you for joining us today. Let's look at the highlights of the year, next. Next slide, please. When we ended 2025 -- well, first, let's talk about the strategy, which is extremely important. So by the end of 2024, we have a new strategy for ISA for a term until 2040, because we anticipated the results of the prior strategy, as you know. At early 2025, we launched a new ISA 2040 Strategy to different stakeholders' interest. First, consolidating energy transmission. Second, deploying and accelerating new energy businesses. Third, growing selectively and strategically in roads then entering new geographies within America, multiplying by more than twice '24 EBITDA, actively managing the portfolio. Lastly, positively contributing to talent, communities in nature. Next slide, please. Now let's talk about operational efficiencies in 2025, we implemented several changes to be better positioned when it comes to the new strategy. And it was not only to enhance the operational efficiencies, but also the reliability of our grid, especially that of Colombia, and the contribution to energy transition. So we chose Transelca, our subsidiary in the Atlantic Coast to drive the new energy solutions business. And with this, we aim to enhance the segment of new energy solutions with solar farms for large consumers into storage energy, a field with huge potential in the region. We also consolidated the energy transmission business of ISA and Intercolombia, which allows us to focus and consolidate in a single subsidiary, our capabilities and technical experience, driving the best operation practices at a high level in Colombia. So with these changes, Transelca is still the owner of its transmission assets, while Intercolombia assume the construction, administration, operation and maintenance of these assets. By the end of the year, we created the digital hub, a platform that centralized and optimized cross-sectional services and digital services for all of our companies in Latin America. Next slide, please. When it comes to the operational performance, it was sound in 2025, where we created value for investors. We executed COP 6.3 trillion in investments, up 31% compared to 2024. Ahead, I'll be telling you more about this. We created an EBITDA of COP 8.7 trillion, a net profit of COP 2.4 trillion, and a return on equity close to 14%. We paid dividends for a total of COP 1.4 trillion, which mean COP 1,265 per stock. The stock had a positive performance with an increase of the price of 48% in the year. Also, if we keep in mind the dividend paid, the total return of the stock was 55% in 2025. And we closed the financial part of the Panamericana Este route in Panama for $281 ensuring enough resources to execute the project, next. Next. Moving to sustainability. We'd like to highlight several milestones that we reached. First, we invested COP 28 billion on social management. Also, we ended the year with an escrow indicator with 415, meaning that for every peso invested in social management, COP 415 were generated in social, environmental and economic value. Also, we declared our decarbonization path towards net zero. And in the year, we met 114% of the goal, and 100% of our companies are neutral carbon. Also, we obtained $6.8 million in revenue and $500,000 and reduction of costs from an innovation such as the use of technologies that optimize the capacity of the existing grid, the integration of data for decision-making and 3D solutions, among others. And we end this chapter with great news. ISA scored 85 of 100 points in the Dow Jones Sustainability Index, ranking among the 15 best companies of the public services power energy industry. And this allowed us to be in the S&P, and to be one of the 10% best companies of this industry. Next. When it comes to projects that are energized and awarded, in 2025, we won projects with investments close to $283 million, and we put into operation projects with a CapEx of $664 million. Among the projects awarded, 94 are for reinforcements in Brazil, a contract of connection and two expansions of the grid in Colombia. The news control of flow system of Las Palmas center in Chile, and we have a free flow agreement in Maipo, Chile. Of the project that we have in Brazil. In Brazil, we include 54 reinforcements and improvements of the grid, and the energization of the Riacho Grande project. The first block of the Piraquê project and the Água Vermelha project. All of these projects are very significant in CapEx and contributions to energy transition, and to grid's reliability. I'd like to highlight that these projects were commissioned before term. This means efficiency since we began to receive revenue before what we agreed. In Colombia, we have the Copey-Cuestecitas put into operation. A project in the north of the country with an investment of COP 147 million. Also in Colombia, we energized two connections to solar farms plus two renovations into expansions. And in Peru, we have the commissioning of the Chilota San Gabriel transmission line with investment of $7 million and the expansion [ 21 ] with a CapEx of $13 million. Next slide. In the fourth quarter of 2025, investments were executed for COP 1.9 trillion, reaching investments of COP 6.3 trillion in 2025. This figure represents an annual growth of 31%, compared to 2024, coherent with our commitments of investment and the strategy to maintain a relevance in the region. The figure in the middle shows the distribution of CapEx consolidated by geography, while the one on the right, distribution per business segment. In 2025, 92% of investments were in the energy transmission business, 7% in roads and 1% in telecommunications. Now let's look by country. In Colombia, Colombia represented 19% of total investments of ISA, which rose to COP 1.2 trillion. Investments in Colombia enabled the commissioning of projects like Copey-Cuestecitas, the connections of the solar farm Guayepo III and the Valledupar I, II, and II solar farm in the Caribbean. In addition, in Colombia, ISA still advances to build 7 projects awarded by per connection and 12 renewal and expansion projects of installed capacity. Let's look at Brazil. This represented 58% of investments for COP 3.6 trillion. In the year, ISA Energia Brazil put into operation 54 reinforcements and improvements of the grid, energize the Riacho Grande project with an investment close to COP 641 billion. The Água Vermelha project with an investment of $61 billion and the Block 1 of the Piraquê projects, which is 30% of the annual revenue. We have also 4 projects in construction, including the completion of the Piraquê project and 183 projects of reinforcements and improvements. Now let's move to Chile, which represented 12% of investments made for COP 764 billion. In Energy Transmission, with the commissioning of the increased capacity of the Maitencillo - Nueva Maitencillo line and we invest to build 2 projects and 3 expansions and renewals of the grid. When it comes to the roads, we still advance in the Orbital Sur Santiago project and complementary works. Moving on to Peru. There, we executed 8% of the investments for COP 468 billion. In the year, we enabled the commissioning of the transmission line, Chilota-San Gabriel, with an investment close to COP 100 billion and the Expansion 21 project with an investment of COP 49 billion. We also advanced to build 4 projects awarded into expansions of the grid. Moving on to Panama and Bolivia, which represented 3% of investments. These rose to COP 189 billion, mainly for the construction of the Panamericana Este route. Next slide. At the end of 2025, the investments plan from 2026 to 2030 rose to COP 25.5 trillion. On the left, we see the distribution by geography and by business segment. Investments consist of commitments of investments in bids awarded in each of the countries where we operate, projection of investments in energy solutions, optimizations, reinforcements of the grid of ISA Energia Brazil, and others. On the right, you can see the annual projections estimated of the execution of these investments. Today, we advanced in the construction of 29 projects. That is 26 projects of energy transmission and 3 in roads, which will add close to 5,000 kilometers of line and interventions of 296 kilometers of roads. So with this, I end. Now let's give the floor to Jaime Falquez, who will talk about the financial results. Next slide, please.
Jaime Falquez: Thank you, Gabriel. Next slide, please. So we begin this financial chapter. Of course, I'd like to thank you all for attending and joining us today in this presentation, our earnings call of 2025, which is so important to us. And we'd like to highlight a sound operating performance. Keeping in mind, of course, that we had special events that impacted the comparison of financial figures from 2024 to 2025. When it comes to 2024, we had favorable events that had a positive impact on the results such as the regular tariff revision in Brazil, which had a net positive impact on the EBITDA of COP 872 billion, and the net profit of ISA for COP 206 billion. Also in 2024, we had a positive effect, special because of the adjustment, the estimate of reserve for major maintenance, which created a higher EBITDA of COP 177 billion. These special results of 2024 are compared with several unfavorable events in 2025, such as Brazil, ANEEL, the regulator decided to reconsider the formula to update the financial component of the basic grid of the existing system. And this had a negative impact of the EBITDA on COP 592 billion, and the net of ISA of COP 140 billion. In addition, in 2025, we keep on updating the reserve for the no payment of Air-e, which accumulated in the year 2025, COP 314 billion with a direct effect on the results of the year. As Gabriel mentioned, we're still increasing our investment pace to honor our commitments by 2030. And with that to advance in the path of our 2040 Strategy, reaching a total execution of COP 6.3 trillion, which is a historical execution representing an increase of 31% of the pace of execution of our investments compared to the year before. In terms of debt, we have sound debt levels within the ranks suggested for investment degree that gross debt EBITDA indicator closed at 3.7x. And in terms of financing, we had disbursements for COP 4.4 trillion and amortizations, or compliance of obligations of COP 2.8 trillion. Alongside, we kept our investment degree as an international issue and the highest score in local markets. Before we end this first part, I'd like to highlight also that we were given 2 recognitions. The renewal of our -- as an IR granted by the Colombian Stock Exchange, which has given to companies that adopt the best practices and transparency and information. And we were also burst in the ALAS20 ranking and which is an initiative -- independent initiative that rates a recognized annually companies for their excellence in disclosure of information. Next slide, please. When we look at the financial results on this slide, we'd like to share with you. The EBITDA and the net profit and their performance in the year 2025. At the top, we see the EBITDA was set at COP 8.7 trillion, down 11% compared to the same period displayed in 2024. If we focus in the middle of the graph, you can see the operational performance. And if we exclude the special events, the positive ones we had in '24 and the negative ones in 2025 that I just mentioned, we can see that the EBITDA grew 8%, compared to the same period, explained by the commissioning of products that generated new revenue. And the positive effect of the contractual escalators with which we update the revenue in each geography and higher yields in road concessions. When it comes to the distribution of the EBITDA accumulated by segment, 83% comes from -- or is generated from electric energy transmission, 15% roads and 2% telecommunications. Moving on to net profit, you can see that the revenue of the year added up to COP 2.4 trillion, down 14%, compared to what we've seen in the year before. But if we exclude the special events, the net profit because of the operation, would reach an increase of 5% because of the higher EBITDA and partially counteracted by a higher income tax, more minority interests and higher financial expenditures to finance the growth that we have been talking about. On the bottom right of the slide, you can see the distribution of the net profit per country. I'd like to close this slide, repeating that our operations are doing very well. That we're still energizing projects. We're creating new revenue and we're benefiting from contractual scalers, which also provide the natural coverage on our balance sheet. Next slide, please. The balance sheet at the end of 2025, we really reflects our sound financial situation. Assets, COP 76.1 billion, with a slight decrease, compared to the year before and mainly explained by the conversion effect. Here, it's important to highlight that the Colombian peso had -- was strengthened in 2025, compared to the other currencies of the region and the dollar and this is reflected when we consolidated everything to pesos. This reduction was also partially compensated by the construction of the projects and the higher yields that we have from the concessions. When it comes to liabilities, this decreased 1.9% compared to 2024, mainly also because of the effect of the conversion and compensated also by the higher financial liabilities that come from the debt that we have taken to finance are new projects. When it comes to the equity of ISA at the end of 2025, it was COP 17.8 billion, showing a stable performance, compared to December 2024. And the main movements of this item have to do with the debit that's decreed. And by the shareholders that same year. Next slide, please. So we can talk about the debt. In 2025, the financial debt -- consolidated financial debt closed at COP 34 billion, that is 1.7% lower than at the end of 2024. The net movement of the debt is mainly explained by the conversion effect. The amortizations according to the time tables of payments, the issue of debentures in Brazil and Peru. And disbursements that are made for our investments plan. The main operations of debt during the year focused in Brazil with the issue of debentures, which is very much bonds for COP 2.8 billion, destined to cover the investments planned and especially the development of the project, Piraquê and Serra Dourada, as well as the prepayment of the 12th issue of debentures with which we also improved the company's debt profile for the end of the year. In Colombia, ISA received disbursements for COP 650 trillion to finance the investments plan in Peru. There are local bonds issued made by ISA Peru, the first one made by this company in the local market, for an equivalent of COP 232 billion, with which we will refinance the total of its bank debt that it had last year. We also had loan disbursements in ISA REP and Consorcio Transmantaro in the last quarter to finance investments in projects for a total amount of COP 164 billion. Lastly, ISA vs Chile received the disbursement of a bank loan for COP 405 billion for -- mainly for the works of the project of the Dourada and Panamericana Este. The gross debt over EBITDA indicator ended at 3.7x. And they show proper levels of debt, where within the ring suggested by risk rating firms for a rating investment degree. Also, we have a mean life of our debt close to 9 years. This goes hand in hand with the nature of long term that we have in our concessions. Next slide, please. When it comes to the performance of the share of ISA in 2025, the performance was positive. It was valued 48%. And if we keep in mind that the dividends paid, the total return on the stock of ISA was 55%. The price of the stock at the end of the year was COP 24,660. And during the year, it reached a maximum of [ COP 26,300 ] and a minimum of [ COP 16,660 ]. It's important to highlight that the average volume transacted was [ COP 7,665 ], and this is important because it's a 23% increase, and this is reflected on a higher liquidity of the stock. At the end of the year, ISA reached stock capitalization of COP 27.3 trillion. Next slide, please. As usual, along with the disclosure of the results of the fourth quarter and the end of the year, we share with the market the proposed to distribute dividends that the Board of Directors of ISA will propose to the shareholders meeting held March 26. There are several elements worth highlighting for this proposal. First, we propose to distribute 50% of the net profit, which is equivalent to a dividend of COP 1,090 per stock. And this dividend agrees with a higher range of the profit distribution policy. It seeks to maintain a sound balance. So -- and this has been the brand of ISA between sharing the earnings and reinvesting for growth to contribute to the future valuation of the company. We consider that this is a responsible proposal with which we have a good level of liquidity and we protect our investment degree rating, and it's a component that's strategic to maintain the company's competitiveness in the region. And with this, I'd like to give the floor to Gabriel to give us some closing remarks.
Gabriel Melguizo Posada: Thank you, Jaime. Now we're ending this webcast. Before we begin our Q&A session, let me give you some closing remarks. First, we began the year defining a strategy that ensures the company's future, positioning as a leader in energy transition we had a 2025 with its sound operational and financial performance, and we still win bids and execute with discipline and responsibility our investment commitments. Third, we implemented changes to enhance our structure and our capabilities for the organization to drive our strategic decisions. We also ratified our commitment to sustainability, which is fundamental to our strategy. In 2025, we increased the execution and above investments by 31% according to our ISA 2024 strategy. We also have a stock that had a total return for shareholders of 55% and considering the valuation of the price. And we also had financial results that allow us to grow and keep the investment degree rating. So with this, we end our presentation. Thank you again for joining us, and now we can begin our Q&A session.
Mateo Toro: Gabriel, thank you. Let's begin the Q&A session. Let's begin with a question from Andres Duarte from Corfi. And he asks, how do you account the project -- the new project that we won in Peru? The TOCE/CEPI, I understand that ISA and GEB are not controlling. Jaime, could you give us a hand with this question?
Jaime Falquez: Sure. Thank you, Andres, for your question. The project that you referred to is the Eléctrico Consorcio Yapay, a project that we're executing in Peru, along with the Grupo Energia Bogota. It's a consortium in which we are co-controllers. So neither ISA or Grupo Energia controllers, so we cannot consolidate line by line. This investment is acknowledged according to the international standards for financial information through the equity method, reflecting solely the economic participation, which -- of each of the company, in this case, 50% of ISA.
Mateo Toro: Next question also from Andres Duarte, Corfi. Could you please give us an update on the project with GEB, the same project of TOCE/CEPI, but in this case, Gabriel Melguizo, can help us with this answer.
Gabriel Melguizo Posada: Yes. Thank you, Andres, for your question. Okay. The TOCE/CEPI project, which is the abbreviation of the name of the substation, it is -- it really joins 3 projects in Peru. It's the largest project of its kind in Peru. It's a project of about 800 kilometers of line and $800 million approximately. This project -- I mean, really, these are two projects. The first two are under evaluation, the environmental study presented in 2025. And we're advancing in the design and contracting. In the second part of the project, which is CEPI, meaning Celendín-Piura, we are working to complete the environmental study to file the license request in the first quarter of 2026. So that's a development of the TOCE/CEPI project. Thank you, Andres, for your question.
Mateo Toro: Next question from Andres Duarte as well, that I will join with another question from Florencia from MetLife. Could you give us an update on the problem that we had in Chile?
Gabriel Melguizo Posada: Yes, of course, Andres and Florencia. Thank you so much for your questions. We're going to try to join them both. First, remember, February 20, 2026, Chile was notified by the SEC on the opposition of a fine of about $14.5 million. I say about it was -- but it's really equivalent to $14.5 million. That fine is related to what happened with the national blackdown that happened in January 2025. The resolution that gave way to this fine as part of the regulatory framework and the administrative part of the Chilean authorities that include many players, InterChile, which is our company, our subsidiary of ISA in charge of the transmission Chile, along with the corporate practice and is analyzing the scope of the resolution, and we'll continue managing this process, along with the mechanisms established by the local norms. So the legal team of the company has begun to analyze that defense and has decided to [indiscernible] this in every instance possible. For now, we have -- on Friday, we presented a resource reposition before the SEC and it's the first file we present. Now all of the above means that the company is not forced to pay the sum right now, and this scenario will remain during this [indiscernible] process. Once again, thank you, Andres and Florencia for your questions.
Mateo Toro: Thank you, Gabriel. Let's continue now with the next question, which is focused also, do you feel that the energy policy in Colombia recognize the importance of transmission? This is from Andres Duarte as well, and also Pablo Franco, who is an expert. Could you give us a hand to answer this?
Unknown Executive: Thank you, Andres, for your question. Sure. The public policy really show that transmission is part of the energy transition. For instance, we can see how the Ministry recently issued Resolution 14004, which shows the works that will be very relevant for the transition and that we will be given nationally and regionally. And these will have to be developed in the following years. And the purpose is to improve the reliability of the system to, of course, serve the increased demand and enable the renewable energy processes. Also, the Ministry has been reviewing a project of resilience guided to guarantee the robustness of the transmission infrastructure, and we hope that this resolution will be issued soon as a final one. Also the CREG, which has also incorporated in its agenda topics that have to do with transmission that are relevant, and to close the regular rate tariff review. And the UPME also is carrying out its analysis to incorporate in its expansion plan transmission works that have been identified and included preliminary in the modernization plan that was incorporated as part of the mission of this unit. Thank you for your question.
Mateo Toro: Pablo, thank you. Let's continue with another question, and I'm going to join one Andres Duarte and one Juan Jose Muñoz BGT Pactual, who asked when and will ISA have it's new Chairman or President. Sonia Abuchar will help us.
Sonia Abuchar Alemán: Thank you Mateo. And thank you for the question. The State Council ruled the annulment of the election. And retroacted everything that was made in the selection process to January 23, 24. And so for the last 2 years, since the moment that the sentence has been published within the company, with the Board of Directors, we have been analyzing the decision and how we will meet it. So we're in this process right now, we cannot determine when we will have a new president in the company. We are analyzing the decision of the State Council. But we will be informing you soon.
Mateo Toro: Thank you, Sonia. We continue with the question from [ Hairo ]. How is ISA making use of the opportunities rising from the growth of companies that create energy from renewable sources? And how does it capture value within the energy transition? Gabriel Melguizo, could you give us a hand here?
Gabriel Melguizo Posada: Thank you, [ Hairo ], for your question. The answer has different viewpoints. First, when you increase the number of renewable generation, this has to go out towards consumers. So this implies the need of building new transmission lines and the need of installing another type of technology that will contribute to have this energy flowing from solar, or wind farms. and that it has to be reliable on talking about static compensators and other number of equipment that contribute to energy transition. And everything that I'm talking about is a great opportunity. I mean, the increase of the grid that we will be building and the increased installations of these operations. And these equipment that we know and that we are aware of and that we will be placing throughout Latin America is a great opportunity. And it's part of the portfolio that the transmission business has $23 million from here to 2040. Another viewpoint to answer this question is that through the business unit that we created devoted to energy solutions, which basically refers to renewable generation through solar plants, and storage of energy. We aspire also to generate that renewable energy cell consumption of large industries. Through self-generation, and we expect to expand our energy storage business throughout Latin America in both fields, solar farms for self-consumption, and energy storage for either solutions, or end users is a huge market that we will be capturing surely throughout the world. And for 2040 strategy, we'll be capturing $47 billion. So the truth is, this question is very relevant to us and the answer is our capability to invest and to be leaders energy transmission in Latin America has to do with this. Thank you, [ Hairo ], for your question.
Mateo Ochoa Toro: Let's continue with the next question. How do you -- how will you recover the money from Air-e in the Caribbean region? Gabriel, could you help us here?
Gabriel Melguizo Posada: Sure. [ Carlos ], thank you for your question. Indeed, ISA and its companies has been working -- looking at the legal aspect directly and it is a sector to recover the accounts receivable from this company. This way, we have been working before the Ministry of Mines and Energy when it comes to the suspension. Last year, the temporary suspension of the supply made by this organism, which was suspended by the superintendence of public utilities through a circular. And we also made legal actions, which surely, all of you are aware of. There was a ruling. And right now, it's being appealed. We also work before the for superintendents of public utilities, seeking to enhance the business fund, which is a mechanism to serve these types of contingencies. And we have been holding meetings with the Ministry of Mines and Energy with the intervention of Air-e to find structural measures to solve the problem of this company. Of course, we do this directly and with the sector. And lastly, I'd like to mention that in July 2025, we have filed a suit against Air-e. When it comes to the second half of the year, but this was suspended until January this year because of a partial payment agreement made with this company, still in January, we renewed the project, and we will carry out with this execution. Still, of course, ISA and its companies still is analyzing the chance of filing new suits, so that this company can assume the payment of its obligations, subsequent and to have a structural solution that's convenient to us.
Mateo Toro: Pablo, thank you. Next question. Which are the new projects for the Colombian market in next years? And first, let's hear to hear Pablo Franco and then Alejandro Velasquez, who is a Director of Mergers and Acquisitions.
Unknown Executive: Mateo, thank you for the question. Yes, indeed. We have a series of resolutions and definitions that the mining energy planning unit has. We will be looking at a resolution that approves a series of projects that are very relevant to enhance transmission in the Caribbean and precisely to serve all of the needs that rise from the energy transition, and the incorporation of all these nonconventional renewable sources from incorporating new technologies. And there we are booking for next years, of course, and serving the needs rising conventionally within our plants.
Alejandro Velasquez: Expanding on what Pablo just said, we have identified opportunities in the region for the next months about $12 billion. Of these, about 48% of the amount corresponds to energy transmission. Others at 26% to new energy business. Geographically, 40% corresponds to Brazil, 42% to Chile, 8% to Chile and 10% to Peru. Particularly in Colombia for the energy transmission business, we identified 8 bids in addition to the projects contained in the urgent resolution that Pablo just mentioned.
Mateo Toro: Thank you, Alejandro. Next question given by Gloria to Gabriel Melguizo. Could you please tell us how ISA operations hurt with Ecuador's commercial war?
Gabriel Melguizo Posada: I can answer this two ways. I can look through transmission and market operator. What [Audio Gap] none of these really affect ISA. When it comes to transmission, we transmit energy towards Ecuador, or from Ecuador to here, through lines that come from the Jamondino lines en Pasto to Pomasqui en Quito. That line is available when the countries require exchanges. But revenues through that line, our part goes from Jamondino Pasto to the boundary with Ecuador. And this that depend on the amount of energy sent, instead of the availability of the asset. So we keep receiving the revenue normal from the line. These are the conditions of the transmission. The lines are there when the grid needs them. We are sorry, of course, that we don't have international transfers, of course, but these are the circumstances. The second pillar has to do with XM. It's not hurt at all because XM does not buy or sell energy and is not impacted. Thank you, Gloria, for your question.
Mateo Toro: Next question from Florencia of MetLife. How does -- how much does Air-e owe?
Jaime Falquez: Thank you, Mateo, for your question. To date, there's a reserve of COP 467 billion, of which COP 153 billion were reserved at the end of 2024 and COP 314 billion at the end of 2025.
Mateo Toro: Thank you Jaime. Next, Juan Felipe asks, thank you for your presentation. When it comes to the energy storage, will you be incurring in batteries? Do you see opportunities of storage in Colombia given the limited capacity of renewables? Or do you see more opportunities in other countries? Gabriel Melguizo, could you give us a hand here?
Gabriel Melguizo Posada: Thank you. I'm sorry, who asked the question? Juan Felipe?
Mateo Toro: Yes, Juan Felipe did.
Gabriel Melguizo Posada: Juan Felipe, thank you for your question. Truly, Transelca is a vehicle. It's the first vehicle of ISA to execute or better build solar generation to store energy in Colombia. It's the first vehicle in Colombia, meaning it's -- we're not saying that Transelca will be operating in other countries. We're analyzing the market in the rest of Latin America. But for now, we see a great opportunity. We have an interesting portfolio to execute it in Colombia initially by 2030, both in solar generation and in storage. And we see that there's a good number of projects possible. This is a business unit that was recently born and just beginning, but we expect to give you good news soon. When it comes to the rest of Latin America, however, we are focused mainly in Chile and Peru, exploring their market. Chile, we're focused on storage of energy and in Peru, generation and storage of energy. That's what we have. But let me conclude. Transelca is only for Colombia, and we see that there's a good market for energy solutions. Thank you, Juan Felipe for your question.
Mateo Toro: Thank you, Gabriel and Juan Filipe, for your question. Allow me let me review what other questions we may have that we have not answered yet. With regards to the questions we have, this ends our earnings call of the fourth quarter of 2025 of ISA and its companies. We'd like to thank you all for joining us, and we'll see you next time. Thank you. [Statements in English on this transcript were spoken by an interpreter present on the live call]